Operator: Good day, ladies and gentlemen, and welcome to Agilent Technologies Fourth Quarter 2018 Earnings Conference Call. At this time all lines are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be provided at that time. [Operator Instructions] And as a reminder, today's program is being recorded for replay purposes. I would now like to hand the conference over to Alicia Rodriguez, Vice President of Investor Relations. Please go ahead. 
Alicia Rodriguez: Thank you, James, and welcome, everyone, to Agilent's fourth quarter conference call for fiscal year 2018. With me are Mike McMullen, Agilent's President and CEO; and Bob McMahon Agilent’s Senior Vice President and CFO. Joining in the Q&A after Bob’s comments will be Jacob Thaysen, President of Agilent's Life Science and Applied Markets Group; Sam Raha, President of Agilent's Diagnostics and Genomics Group; and Mark Doak, President of the Agilent CrossLab Group. You can find the press release and information to supplement today's discussion on our website at www.investor.agilent.com. While there, please click on the link for Financial Results under the Financial Information tab. You will find an investor presentation along with revenue breakouts and currency impacts, business segment results and historical financials for Agilent's operations. We will also post a copy of the prepared remarks following this call. Today's comments by Mike and Bob will refer to non-GAAP financial measures. You will find the most directly comparable GAAP financial metrics and reconciliations on our website. Unless otherwise noted, all references to increases or decreases in financial metrics are year-over-year. References to revenue growth are on a core basis. Core revenue growth excludes the impact of currency and acquisitions and divestitures within the past 12 months. Guidance is based on exchange rates as of October 31. We will also make forward-looking statements about the financial performance of the Company. These statements are subject to risks and uncertainties and are only valid as of today. The Company assumes no obligation to update them. Please look at the Company's recent SEC filings for a more complete picture of our risks and other factors. Before turning the call over to Mike, I would also like to share my plans to retire at the end of January making this my last conference call as Agilent’s Vice President of Investor Relations. I have enjoyed working with many of you over the years, but as Mike says, the best is yet to come and so it is also true for IR. And now I'd like to turn the call over to Mike.
Mike McMullen: Well, thanks, Alicia. Hello, everyone. Thank you for joining us today. Before I cover our financial results, I want to thank Alicia for her years of service, and wish her the best in her retirement. Alicia superbly led Agilent’s IR team for the past eight years. She has set a high standard for her professionalism, integrity, and transparency in her engagement with the investment community. Thank you, Alicia. You are the best and you will be missed by me. You can see this has been an emotional day for all of us and our Agilent team, and I am sure by the audience on today’s call. This quarter we are reporting our strongest quarterly results since the 2015 launch of the new Agilent. We are ending the year with a terrific quarter. Our revenues, profitability, and earnings per share are significantly ahead of expectations. Now, some of the specifics. Q4 revenues grew 9% on a core basis to $1.29 billion. This exceeded the high end of our guidance by more than $30 million. Double-digit, end-market growth in Pharma, environmental forensics, along with the continued strength in our chemical energy business are driving the results. Geographically, our China business is up sharply with 16% growth for the quarter. For the year, the Agilent China team delivered double-digit growth and achieved a major milestone crossing over $1 billion in business for the first time. Q4 adjusted operating margin is 25.2%, up 190 basis points from last year. This is our 15th consecutive quarter of the Agilent team improving year-over-year operating margins. Q4 adjusted EPS of $0.81 is $0.07 above the high end of our guidance. Compared to last year, this is an increase of 21%. In addition, we took advantage of marketing conditions to purchase $86 million in stock during the quarter. For the full year, stock repurchases stand at $422 million underscoring the confidence we have in our future performance. I am also pleased to report that the Agilent Board has just approved a new $1.75 billion share repurchase plan. This quarter, performance caps off an excellent 2018. Our strongest quarterly performance translates into full year core growth of 7.1%, our highest annual growth rate since the launch of the new Agilent. Total reported revenues grew to $4.9 billion. We continue to deliver improved profitability while investing for growth. For the year, adjusted operating margin is 23.1%, up 110 basis points over last year. Our earnings per share are up 18% for the year to $2.79. The numbers tell the story, a strong team delivering yet another stellar annual performance. Let’s now look at the quarter by business groups. Core revenue grew a healthy 9% for LSAG, our Life Science Applied Markets Group. Product strength is broad based, driven by mass spec, chromatography, and cell analysis. We continue to introduce innovative new products. We are strengthening the molecular spectroscopy portfolio with the launch of the Agilent 8700 Laser Direct Infrared Chemical Imaging System. This is a breakthrough in both chemical imaging and spectral analysis. We also introduced the Cary 3500 UV-Vis system, the first significant advancement in UV-Vis architecture in decades. We continued to build out our cell analysis business. We just closed the acquisition of ACEA Biosciences. ACEA is a provider of cutting-edge cell analysis instruments and will expand our cell analysis portfolio. The Agilent CrossLab Group delivered strong 9% core revenue growth. Demand was excellent across both services and consumables. We continue to invest in our portfolio and extending our customer reach. We completed the acquisition of ProZyme, expanding our offering in the biopharma marketplace. We also acquired our South Korean distributor. This acquisition expands our direct customer engagement and it further builds out ACG’s service business in the market. The Diagnostics and Genomics Group grew 5% on a core basis. Strength in our NASD and Genomics businesses drove the quarterly results. In a significant win, Agilent has been selected by Unilabs to be a Preferred Partner for their pathology business. Unilabs is one of the largest European diagnostic testing lab providers. This announcement is another strong testament to the advantages of Agilent’s expanding workflow solutions. Before I leave DGG, I want to provide an update on the construction of our new NASD API production facility. We remain on track for the initial production of GMP-grade APIs by the end of fiscal year 2019 with material revenue contributions in FY 2020. Overall, it was a great quarter capping off an excellent year delivered by the Agilent team. A few final comments before I turn the call over to Bob. Agilent’s shareholder value creation model is fully activated. First, we are executing on an innovation-driven growth strategy that is delivering. Second, we continue to focus on improving profitability with our “Agile Agilent” Initiatives. Finally, we are actively leveraging our balance sheet to drive acquisitions of fast-growing innovative companies while also returning cash directly to shareholders. We have transformed Agilent into a growth company and are focused on delivering superior earnings growth. We just delivered our highest growth and profitability since the launch of the new Agilent. Since then, our adjusted CAGR EPS is up 17%. Our business is also less cyclical today with non-instrument sales making up over 56% of our total company revenue. If economical challenges would arise, our business is now less dependent on capital equipment purchases. Looking ahead to 2019, while acknowledging current trade discussions, we are expecting market conditions to remain solid. The Agilent team is laser-focused on sustaining our strong growth into 2019 and beyond. We have momentum. I keep telling the Agilent team the best is yet to come. Thanks for being on the call, and I look forward to answering your questions. I will now hand off the call to Bob. Bob?
Robert McMahon: Thank you, Mike, and good afternoon everyone. I am very pleased to be talking with you today on my first earnings call as Agilent’s CFO. Before I get started, I want to echo the comments Mike made and say thank you to Alicia. In my time here, she has been a great partner to me, and I truly wish her the best in retirement. She will be missed. Now moving on to the financials. In my remarks, I am going to provide some additional detail on revenue, walk through the fourth quarter income statement, touch on a few other key financial metrics, and then I’ll finish with our financial guidance for 2019. Unless otherwise noted, my remarks will focus on non-GAAP results and percentage changes will be on a year-over-year basis. As Mike mentioned, we delivered a very strong fourth quarter to finish an excellent fiscal year. Revenue for the quarter was $1.29 billion with core revenue growth of 9% exceeding both our guidance and expectations. For the full fiscal year, our core revenue growth was 7.1%, a very strong performance. As Mike spoke to the Group’s performance for the quarter, I will provide some additional details around our end-market and regional performance. Overall, the market environment is positive and based on our channel reach and product offerings, we saw broad strength across most end-markets. Pharma, our largest end-market was up 14% with double-digit contribution from all business groups. Both the small molecule and biopharma segments performed well. Traditional areas of strength, as well as newer areas of strategic focus such as cell analysis and a strong performance at NASD contributed to the results. Chemical and energy grew an impressive 7% against a very strong comparison of 15% core growth last year. We continue to see positive ongoing market investment in this area. Balanced gains in both LSAG and ACG were driven by strength in spectroscopy, LC-MS, supplies and services. Demand for our materials characterization applications continue to drive robust ICP-MS growth. Environmental and forensics grew 17% ahead of expectations with good demand across major regions. Growth was balanced across both end-markets. Forensic saw notable demand for Cobalt Raman spectroscopy and environmental for LC-MS and ICP-MS. Academia and Government reported 10% growth as funding environment stabilized, while diagnostics and clinical grew 1% and food was flat as expected against a tough 10% comparison. Geographically, we also saw broad based strength. China grew by 16% accelerating from the 10% core growth we saw in Q3 and as Mike mentioned, passed the $1 billion mark in sales for the year in the fourth quarter. Other Asia and Japan grew by 12% and Europe and the Americas had solid mid-single-digit growth. In addition, we continue to be pleased with the revenue contribution as non-instrument revenue contributed 56% of the total in Q4. Looking forward, we see non-instrument revenue growth outpacing instrumentation driving an increasingly recurring revenue stream. Now turning to the rest of the P&L. Q4 gross margin of 57.8% increased 170 basis points compared to the prior year. This was due to product mix and volume, as well as our order fulfillment and supply chain organization continuing to do an outstanding job driving cost savings using our “Agile Agilent” approach. Operating margin including adjusting for the Keysight billings was 25.2%, up 190 basis points due to higher gross margins and top-line leverage on operating expenses even as we invested more in R&D. This led to non-GAAP earnings per share of $0.81 in the fourth quarter, an increase of 21% compared to the prior year and more than double the rate of revenue growth. Now before moving to FY 2019 guidance, I want to touch on a few additional financial metrics. We continue to generate very strong cash flows. This quarter, free cash flow was $336 million and for the year, we generated over $900 million in free cash exceeding our commitment. In Q4, we returned $133 million to shareholders buying back 1.3 million shares for $86 million and paying out $47 million in dividends. We also completed the ProZyme and Young In acquisitions. With Young In, we expanded our direct sales and service capabilities in South Korea. For the fiscal year, we’ve returned $613 million to shareholders, buying back 6.4 million shares for $422 million and paying out $191 million in dividends. As Mike mentioned, we closed a record number of acquisitions in 2018 deploying $516 million. We ended the year with $2.2 billion in cash, and $1.8 billion in debt and we just closed on ACEA Biosciences last week. So we are starting 2019 where we left off in 2018. All in all, we entered 2019 with health end-markets, good momentum in the business, and a very strong balance sheet. Now let’s turn to our non-GAAP financial results guidance for the full year and first quarter of 2019 beginning with our full year guidance. We expect 2019 to be a strong year overall, but before I get into the actual numbers, let me mention a few important points. First, we anticipate currency will be a headwind in 2019. Based on exchange rates as of the end of October, we expect currency will reduce reported sales growth in 2019 by roughly 220 basis points translating into roughly $110 million negative impact for the full year. For comparison, our 2018 reported sales growth benefited by 210 basis points from currencies. Now partially offsetting the currency impact will be a larger contribution from recent M&A including the recently closed ACEA Biosciences acquisition. And in addition, starting in fiscal 2019, we adopt a new accounting standard which changes how we present pension expenses and benefits on the income statement, in effect, reclassifying certain amounts to other income and expense. While this has no impact to net income, we do expect this will reduce forecasted operating margins in FY 2019 by roughly 40 basis points. As we move through the year, we will provide a restated 2018 to provide an apples-to-apples comparison. And lastly, we are taking a different approach in setting guidance ranges that include both upsides and downsides. So I would encourage you to model to the midpoint of guidance at this stage. Now for the full year, we are expecting revenue to range from $5.13 billion to $5.17 billion in fiscal 2019 representing core growth of 5% to 5.5% and associated reported growth of 4.4% to 5.2%. Currency is estimated to negatively impact growth by 2.2 percentage points with M&A contributing roughly 1.6 percentage points to 1.9 percentage points of growth for the full year. Now on to our EPS guidance. For the full year, we are forecasting a range of $3 to $3.5 per share adjusting for the negative currency, this translates to 9% to 11% growth in EPS and a 7.5% to 9.3% on a reported basis. Included in this guidance is roughly $4 million per quarter in tariffs. This is slightly higher than the estimate we provided last quarter and is related to List 3. A few other metrics as you build your models. Embedded in our forecast is modest operating leverage after accounting for the pension adjustment. We are also expecting the total of interest income, interest expense, and OI&E to be $10 million to $15 million in net expense inclusive of pension and Keysight billings. Guidance is based on a full year tax rate of 17%, down a point from 2018 and diluted shares outstanding of approximately $322 million, flat to Q4 of this year. We expect operating cash flow of between $1.1 billion to $1.15 billion and capital expenditures of roughly $175 million. As previously mentioned, the Agilent Board has authorized a $1.75 billion repurchase program and we plan at a minimum to offset dilution throughout the year. We also continue to look for M&A like ACEA and other recent tuck-ins and have the financial flexibility to be opportunistic in share buybacks as well. And finally, we have announced raising our dividend by 10% continuing a streak of double-digit increases providing another source of value to our shareholders. Now turning to Q1 guidance. For Q1, we are expecting revenue to range from $1.265 billion to $1.28 billion representing reported growth of 4.4% to 5.7% and core growth of 4.5% to 5.5%. Please remember that we are going up against a very tough Q1 comp last year where we grew 10% core. First quarter 2019 non-GAAP earnings are expected to be in the range of $0.71 to $0.73 per share which is roughly 9% to 12% ex currency and 7.6% to 10.6% reported growth. Now before opening the call for questions, let me conclude by saying, we are very pleased with the financial results and the continued hard work and focus of the Agilent team laying the ground work for future growth and as we enter 2019 with strong momentum. With that, I will turn it back to Alicia for Q&A.
Alicia Rodriguez: Thank you, Bob. James, will you now open the phone lines for the Q&A and provide the instructions?
Operator: Of course. [Operator Instructions] Our first question comes from Tycho Peterson with JP Morgan. Your line is now open. 
Tycho Peterson: Hey, thanks. I’ll be the first to congratulate Alicia. It’s been great working with you. I guess for, either Mike or Bob, I am wondering if you can maybe help us put some parameters around the guidance for next year either by end market or segment. Can you maybe just talk to whether, like, for example, food can get back to growth post the China restructuring? And how should we think about C&E, it moderated a bit against tougher comps, how do you set up for that next year?
Mike McMullen: Hi, Tycho. I am in the room. This is Mike and Alicia really appreciates your remarks. And Bob, I think maybe you can provide a little color on Tycho’s questions. 
Robert McMahon: Yes, I think, - thanks, Tycho, and I am pleasured to speak with you. In terms of the end markets, I think we still see nice end-market growth across all the markets. When we think about the various markets, pharma, we would expect leads the way, probably faster than the overall company growth, but we are expecting growth throughout all of the end-markets. So, we expect a return to growth in food for sure, but also continued performance across all of the businesses or all the end markets. And really, we expect kind of broad based growth across the end-markets as well as our divisions. 
Tycho Peterson: And is there any implications on your lab deal on DGG for next year? How does that flow through?
Robert McMahon: Yes, Tycho, I think there’s this one more proof point that we think we can continue to grow the business both in terms of winning some big deals but also as the PD-L1 expands in terms of various cancer types being able to be treated by the Keytrudas and Opdivos of the world. So, it was just more of a proof point, say, this is why we have confidence. We can continue that growth trajectory. 
Tycho Peterson: Okay. And then just lastly, can you comment on the cell analysis portfolio today with ACEA and Seahorse. I am just wondering whether there are revenue synergy opportunities here or how do we think about the portfolio and the ability to kind of penetrate the single cell market a little bit further?
Mike McMullen: Yes, Tycho, I am going to make a few opening comments here and then pass it over to Jacob. But, as you know, we made our first foray into cell analysis with the Seahorse acquisition and we really were attracted by the growth in this space as well as what Agilent can bring to really accelerate the growth of acquired assets in this space, and we are super pleased to have ACEA and the ACEA team as part of Agilent, but I am going to turn it over to Jacob and you can share your perspective as well. 
Jacob Thaysen: Yes, absolutely, Mike, and I am as excited as you are, perhaps even more even since it’s hitting my business. And so, I should say, we started into the cell analysis business with the Seahorse acquisition followed by Luxcel and now here recently with ACEA. And all acquisitions gives us a very differentiated position in the cell analysis business where Seahorse is really a technology that allows for measuring the up and down regulation of metabolism based on oxygen consumption. We now have ACEA Flow, the flow cytometry which is a great way and a very easy way of doing cell characterization, identification based on the genotype and what – where this would position a market is that it is very ease of use and re-allow many different labs that today feel it’s very difficult to work with flow spectrometry to really start to get their hands around that. And finally, the ACEA has the xCELLigence platform, which is a great way of measuring cell survival viability through impedance measurement, so those three different modalities really gives us a strong position, especially in the immuno-oncology and CAR-T where they basically bring the ability to measure live cells and how they operate under different conditions is going to be key for the entailing in [indiscernible] and immuno-oncology. So, you will see us continue to invest into this business, but I am very pleased where we are today. 
Mike McMullen: Yes, Tycho, you can see the excitement we have on this product expanding on the cell analysis business and I think this is a perfect example of how a company coming into Agilent with this great innovative new product and really benefit by the scale of Agilent. 
Tycho Peterson: Okay. Thank you.
Operator: Thank you. Our next question comes from Ross Muken with Evercore. Your line is now open. 
Mike McMullen: Hey, Ross.
Ross Muken : Good afternoon and congrats guys. And Alicia, it’s always been a pleasure. Maybe let’s talk China. So, if I look at some of the color you gave on a segment basis, it seems like, not only did the segment outperformed, but it was pretty broad based. And when you called that, I think in the presentation, Academic as well, and some P&B, more traditional pieces of what we think your China business being. So, maybe just give us a feel for the cadence in that business for next year and sort of the underlying assumptions and how you are thinking through some of the macro noise in whether or not tariff or anything else will impact the sort of demand curve on maybe the non-life science business next year.
Mike McMullen: Yes, happy to do so, Ross. So, I think you anticipated some of my response which really was broad based. I mean, we were delighted with the numbers, 16% double-digit for the entire year, but we saw a strong growth in Pharma, Academia, which really the China government is really focused on doubling the number of their – what they call the first-class university, and so very robust funding environment. You saw the overall numbers for Environmental and Forensics and lot of that was being driven by investments in the Environmental space by the Chinese government. We are seeing a strong growth in the aftermarket, continued strength in chemical energy and returned to growth in the food segment. So, the overall view of China was very positive for the quarter. And as we look at next year, I think, Bob and I were talking about this earlier, we are guiding - embedded in our guidance assumptions is high-single-digit growth in China for next year and despite all the noise that’s out there, what’s really happened on the ground is a lot different. Chinese customers want to buy the most innovative tools for their work. They want to support the government-led initiatives and areas such as investments relative to healthcare for the citizen are getting funding and we are one of the preferred choices for those customers. So, despite the noise in the environment, the environment remains very solid. 
Ross Muken : And maybe on the margin side, obviously, all of the volume absorption in the quarter just giving how much you need the revenue piece by obviously whole, but it feels like still underlying a lot of what you’ve been doing across the business is flowing through on both the gross margin and OpEx line. And so, maybe give us a feel for how much you think of sort of the margin outperformance kind of came from, maybe just the underlying revenue stream, versus maybe some of the other actions you are doing that in the context of some of the investments obviously you are going to making next year into Lasergen?
Mike McMullen: Yes, Ross, as you know, it’s more than just volume that drove the margin expenses as you noted. And I just lean it over to Bob, my guess is, probably two-thirds volume, one-thirds OpEx and specific gross margin initiatives. So, as I noted in my cost script, we have a – whole series, we call “Agile Agilent” initiatives which continue to drive efficiency and much more effectives inside the company. A lot has been focused on the gross margins of late, but also we are going to play a lot of this and we’ve been aligned this to our OpEx as well. And again, I would underlie the importance of our digital transformation are under really is going to continue to allow us to drive improvements here. So, when I came to the role a couple of years ago, I wanted my margin expansion not to come just from volume and that’s been our mantra and our formula since we started the new Agilent four years ago and it will continue to be our approach as we move forward. Bob anything else you’d add? Maybe what to hit your mic here? 
Robert McMahon: Yes, I was going to say, I think the other thing is, if you look at the various group, each one of the group has actually improved their profitability in the quarter which is nice broad based performance and so, it’s not just one business or one product that’s driving the profitability. It really is across Agilent. 
Mike McMullen: That’s a great build, Bob and one of the things that we noted to our Board last week when the Board Meeting was, what we’ve been doing on the gross margins of our service business as well, which is you often think about the margins are being relatively stable and flat there, since in such a high labor content in terms of delivery. But Mark and his team are really been driving efficiency with new tools and approaches. So, it really is broad based improvement across all three groups. 
Ross Muken : Awesome. Thanks guys.
Mike McMullen: Thank you. 
Operator: Thank you. Our next question comes from Jack Meehan with Barclays. Your line is now open. 
Jack Meehan : Thanks. Good afternoon and I would reiterate as well, good luck Alicia. I enjoyed working together. Just as my first question, I want to dig in a little bit more on the LSAG performance. I know on the product that was flagged out was LC-MS. I was curious if you could give us an update on the Ultivo launch there and just where you think you are seeing that resonate in the market?
Mike McMullen: Jack, I think I’ll let you answer this question since for one of those good news answers, so let me pass it over to you Jacob. 
Jacob Thaysen: Yes, absolutely, thanks for that question and I mean, it’s kind of an very straight-forward story that Ultivo continues to outperform our expectations. We see our customers, especially where we started Ultivo by building applications in the Food and Environmental. And they have been very happy with what they see. In the end, you can actually, with the size of it and the performance, you can actually place three in the – three Ultivos in the same place as you previously could do with one mass spec which gives a lot of opportunities in many of the labs that actually are lacking space. On top of that, we have done a lot to simplify and improve this software and also the usability as such. We start to see now also the some accounts are really interested in taking on Ultivo. But the mass spec story and the performance is beyond Ultivo and we see a lot also in our 6545XT bioconfirm where we now see on the biopharma side that we start to see a very strong uptake on that. So, it’s really broad based that we see that our robust reliable instrumentation is picking up in the market. Very excited about the mass spec. But there is a lot of other elements into the overall LSAG business. The ICP-MS is also doing strong. LC continues to come back with great momentum. So, overall, we are really right now firing on all cylinders. 
Jack Meehan : Great. Appreciate all that feedback. Just as a follow-up, I want to get a status update on the Colorado facility. Just help if you could parse out some of the language from the prepared remarks a little bit more. Are you assuming the revenue that starts more in fiscal 2020 at this point? And then, just on the CapEx side, how much is within the $175 million guide is being attributed to the facility there? Thanks. 
Mike McMullen: Jack, having the answered the question, I’ll take the first one and then perhaps the second one to Bob. So, the language in the script was just to reaffirm to the audience that we are on track as planned. And the construction is actually complete. We are now in the process of validation. We just had a review late last week on the status and we will get revenue in 2019, but what we were just showing was the big pop up when you get the full year is going to be 2020. 
Robert McMahon: Yes, hey, Jack. Good afternoon. This is Bob on the capital side and to just build on what Mike was saying. Yes, that’s – we do expect some revenue contribution here. But as we’ve said consistently the big revenue uptick is in 2020. And in terms of the capital, of the 175, most of the capital has been spent at the Fredrick site already. There is some additional, but most of that has come down and the 175 is the majority of that is still actually the base business. Now recall, that higher than perhaps it would have been earlier because of the acquisitions that we’ve acquired. So, we’ve acquired some capital associated and planned, expansion plans there. 
Mike McMullen: By the way, Bob, probably also as I mentioned specific to our second site or our original site which is Boulder, we actually have found some ways to work the efficiency of efforts here and we are actually planning to get more volume out of there in 2019 than 2018. 
Robert McMahon: That’s right. 
Mike McMullen: So, our growth in NASD is not only – does not only solely dependent on the Fredrick site. 
Robert McMahon: That’s right. 
Jack Meehan : Great. Thanks for all the color guys. 
Operator: Thank you. Our next question comes from Steve Willoughby with Cleveland Research. Your line is now open. 
Steve Willoughby : Hi, good afternoon. Thanks for taking my question. I guess a couple of things. First, just on tariffs, Mike. You made a comment about the $4 million a quarter, just being up slightly, just wondering is that including any impacts from pricing or supply chain as you doing as a potential offset? And then I have one follow-up. 
Mike McMullen: Oh, yes. Thanks, Steve, thanks for the clarifying question and Bob I am going to go ahead and take a shot on this and if you need of course correct me and please go ahead. But what we are planning to quantify was the actual impact of incremental duties thereafter all the mitigation efforts. That does not include anything else. We may be doing relative to pricing. So, that’s not a complete drag on the P&L. It’s all baked into the guide for next year, but we’ve also instituted some other broad based actions to mitigate that as well. But that was just trying to isolate the specific amount of the net incremental duties to the company. 
Robert McMahon: You got it. 
Mike McMullen: Right Bob?
Robert McMahon: You got it right. 
Mike McMullen: Sorry. 
Robert McMahon: Thanks. 
Steve Willoughby : Sure. And then, just, Bob, just a quick follow-up question. I guess, I just had a clarification. I guess, two things really. Within the 5% to 5.5% core growth guidance you are providing, what is your assumption for the incremental revenue from the NASD business in Colorado? And then, just making sure I heard you correctly in terms of operating margins including the pension accounting change, what is your assumption for operating margin expansion next year, ex this 40 basis point headwind? 
Robert McMahon: Yes, so, on the NASD, what I would look at – what I would think about that is, looking at NASD in total and the total growth rate is still there. So, rather than looking at as a sweep, because we’ve actually found incremental volume out of the existing plan. So we are expecting growth in NASD next year consistent with what we shared back in the summer. And in terms of margins, what I would say, that’s also I think very customer-driven, because customers have one batch at the one site would for us to kind of finish the work there as opposed to going mid-term into the other sites.
Steve Willoughby : That’s right. 
Robert McMahon: And in terms of the operating margin expansion, what I would say is, after adjusting for the 40 basis point reduction, we are still expecting some modest improvement in operating margins. So, what that would tell you is it’s greater than 40 basis points.
Steve Willoughby : Sure, thank you. 
Operator: Thank you. Our next question is from Paul Knight with Janney. Your line is now open. 
Mike McMullen: Hey, Paul.
Paul Knight : Hi, Mike. 
Mike McMullen: Hey, how are you?
Paul Knight : Good. Could you talk about - as we – would you think about that January Lunar New Year and the – with the effects you expect out of the way holidays are rolling out, how we should think about the first quarter specifically? I know there is usually been a little bit of noise around how calendars lay out. 
Mike McMullen: Paul, thanks for the question. So, it’s my hope, one year as CEO of not to be talking about the Chinese Lunar New Year. And 2019 may actually be that year. So, as you know in 2018, it caused a lot of seasonality swings between the quarters and also prior year compares. The way it’s playing out this year it’s happened in the same period of time as it happened in 2018. So, Bob, I think we are not really expecting anything unusual this year from the time of the Chinese Lunar New Year. 
Robert McMahon: That is correct. 
Paul Knight : And then, lastly, I don’t know of this question was put in, but how should we think about tax this year and also going forward even beyond FY 2019?
Mike McMullen: I think, Bob has got a really good story here. So, why don't you talk to him about what's going to happen in 2019, already we know. 
Robert McMahon: Yes. Thanks, Paul. And so, this year in FY 2018, we ended the year at roughly at 18% effective tax rate. We are guiding to 17% in FY 2019 and we are working on plans to continue to improve that going forward. 
Paul Knight : Okay. Thank you. 
Operator: Thank you. Our next question comes from Patrick Donelly with Goldman Sachs. Your line is now open.
Patrick Donelly: Great, thanks. Mike, maybe one for you. We are seeing continued news flow in some of the bigger build outs chemical companies in China. Can you just talk through the market demand there? I know chemical and energy are the areas you’ve been pretty bullish on historically in that region. So, where are we in the process of some of those bigger projects building out capacity in GC, some of the other areas you act as a supplier in?
Mike McMullen: Yes, Patrick. I am happy to share my insights here. So, I have been bullish on the growth prospects of China as it relates to the chemical energy markets for I think a good reason, because we have some pretty good insight in terms of the projects that are underway. And as I mentioned, I think in a prior call, a lot of this not only to support their economic growth, but also is, what they view as a element of national security as we continue to invest in the colder chemical plants to really reduce their dependency on natural – import of natural gas for example. So we’ve seen the projects they have a multi-year program. I think we are probably in the third or fourth inning of what those could be a multi-year build out of plant capacity. And this is really important for our GC business as you mentioned, Patrick that that’s actually is the tool of choice. And Jacob, I know you just got back from a trip to China and are you hearing the same things from the teams? 
Jacob Thaysen: Yes, certainly, Mike. It’s really just a repeat that there are plenty of opportunity in China right now with the larger SPI installations coming in here also in 2019 and 2020. So I think, there are great opportunities in front of us also in that space.
Mike McMullen: So, I guess, the message here, Patrick, it’s not over yet. So, we think we got to go few more years of really solid growth in this segment of the market in China. 
Robert McMahon: And I think – hey Patrick, this is Bob, maybe just to build on that, obviously, as Jacob and team lay that ground work for putting in the instrumentation, I think, Mark and his team around the chemistries and supplies business also continue to drive very strong growth in China. So I think it’s a multi-phased opportunity for us as we go forward. And so we are really excited about that. 
Patrick Donelly: Great, thanks. And then, Bob, maybe, I know that you’ve been on the seat for a few months. Can you just talk through kind of initial impressions, maybe a particular focus on the margin side, obviously came into nice clean balance sheet. We’ve seen some activity there between the dividend increase and the bigger share repo is a historical trend. But maybe just on the margin side, given some cost saving initiatives that’s been in place for a few years, what opportunities have you seen confidence level and continued expansion opportunities going years out?
Robert McMahon: Yes, thanks, Patrick. I think one of the things that I’ve been very pleasantly surprised with this is the amount of rigor and discipline the organization actually comes through. We probably undermarket the Agilent approach externally. But I think the teams are very operationally focused, not just on cost savings at the gross margin line, but really through increasing productivity and efficiency across the organization. What I would say is that there are still several big opportunities as we go forward. Obviously, still focused on gross margin, but Mike mentioned the digital aspect to this and this has a multi-faceted approach. Not only does it enable us to actually do business easier with our customers and actually drive some stickiness, it also is going to be driving efficiencies in our customer service – cost per order dollar activities and so forth. And so, as we think about that driving, I would see multiple layers – levers there. I think there is opportunity continue to do that, as well as continue to reinvest some of those proceeds in R&D. So, very excited about the things going forward. 
Patrick Donelly: Great, thank you. 
Operator: Thank you. Our next question comes from Dan Arias with Citigroup. Your line is now open.
Dan Arias : Afternoon guys. Thanks. 
Mike McMullen: Hi, Dan.
Dan Arias : Mike, just wanted to – hey, Mike. I wanted to follow-up on the expectations for growth in food this year. How far along are you at this point in working through the government reorganization headwind in China? Have you fully come through on the other side there? Or are you still working through some things?
Mike McMullen: I think you are talking specifically to China, yes. So, by the way one of the things also when you look at our food numbers, Europe was relatively flat against the double-digit compare. So, I know we are going to – I know your question was focused on China. But that’s – we also saw some other geographic dynamics in the fourth quarter. Albeit said, we think the business will be growing again in 2019. We think, you may recall, I think it was the second quarter I talked about two sets of reorganizations. One, we thought what happened faster which was the environmental one, which was done and you can see that the pop in some of the growth rates we had. And relative to the food ministries, we expect that that to take longer to get that side of the reorganization done. I think that’s still holding through the form, which is we are anticipating that kind of taken through the rest of this calendar year. That being said, we also know some of the money is got to move to the tier-3 and tier-4 cities and we’ve been actively building up our channel there over the last several quarters to ensure we can capture the growth. So I guess, the message here is, still developing as we thought a few quarters ago. Not done yet. 
Robert McMahon: Yes, I would agree with that, Mike and what I would also point to is, if you look at the performance of our China business it’s accelerated quarter-on-quarter, so. And I don’t want that to be lost after just posting a 60% year-on-year growth rate for the total company. 
Mike McMullen: Thanks for the reminder, Bob.
Dan Arias : Yes, that’s helpful. Okay. And then, if I could, just go back to the guidance range just to make sure that I had it correct. It looks like, you have tightened things up relative to where you were at the Analyst Day. So I am curious if you can just sort of hone in, where you feel like you are, maybe 50 BPS better at the low-end and then it seems like things are going pretty well. So I guess, and you called 6% prudent at the Analyst Day. So, why trim that 50 BPS at the top of the range?
Mike McMullen: So, just as a reminder, at the Analyst Day, we actually didn’t guide for 2019. We are really just trying to illustrate, that’s really about what our margin expansion might look like at different revenue levels. But I think, relative to our guide, Bob, I think we are actually feeling very, very positive about it. I think, we came out stronger this year than we did last year. So, Bob, anything else you'd add to that?
Robert McMahon: No, I think that’s right. I think when we think about core growth of 5% to 5.5%, that’s faster than what we are expecting the overall market growth to be. So we are feeling bullish about our ability to continue to gain share not only through launch of the new products that we talked a little bit about. But also continued market execution across our businesses and as we mentioned, it will probably led by the pharma in China areas. But we are expecting solid growth across all of our end-markets as well as geographies. 
Dan Arias : Okay, thanks a bunch.
Robert McMahon: Were those helpful?
Dan Arias : Sure it was. 
Operator: Thank you. Our next question comes from Dan Leonard with Deutsche Bank. Your line is now open.
Mike McMullen: Hi, Dan. 
Dan Leonard: Hello. So, first question. Can you elaborate more on timeline for the share repurchase? And any target capital structure you have in mind?
Robert McMahon: Yes, hey, Dan. This is Bob. I’ll take that. We are thinking about it in two ways. One is, obviously, as I mentioned doing something throughout the course of the year to maintain our share count at roughly 322 million shares and then we will be opportunistic similar to what we had done in the fourth quarter. Still little early for me to actually come out and give a target in terms of capital structure. But what I can tell you is, I’d expect us to continue to be very active in the M&A market and I think we have an opportunity to optimize the strong balance sheet more effectively going forward. 
Dan Leonard: Okay. And then, just a follow-up on your forward-looking commentary on end-markets. So, how should we think about – in regards to pharma, where you expect strength in 2019, how should we think about the sensitivity of capital markets were to climb up here? If at all, would Agilent be sensitive to that or just walk us through your thinking on that front?
Robert McMahon: Yes, great question. My view is that, what’s powering the investments in pharma, it’s really about investments improve the human condition. It’s all about investing in new classes of drugs, new therapies. Whether it be the biopharma, whether it be cell therapies, various gene approaches that are going on there. We see a new class of drugs such as the RNA-based therapeutics. So, we think they are fairly resilient if you will to those kind of headwinds, economic headwinds into the fact they would occur. And then also just to remind you particularly in our pharma space, how much of our business is non-instrument related. So, we had a very large recurring revenue business really centered around our ACG business. 
Dan Leonard: Okay. Thank you. 
Mike McMullen: Happy. 
Operator: Thank you. Our next question comes from Derik De Bruin with Bank of America. Your line is now open.
Derik De Bruin : Hi, good afternoon. 
Mike McMullen: Good afternoon, Derik.
Derik De Bruin : Alicia is one of the only other New Mexican on Wall Street that I know, going to miss you. So, a couple of questions. So, when you look at your segments for 2019, the implied sort of organic core growth rates looking forward is something around 3% to 4% for, I would say, mid-single-digits for diagnostic and then, 7% to 8% for ACG, is that a good way to sort of look at it?
Mike McMullen: Yes, what I would say is, you are in the ballpark. 
Derik De Bruin : Got it. And one of the key questions we are getting from investors is, obviously is the macro has been choppy. There is a lot of angst about how business has performed during the – during a downturn. I mean, obviously, you are a heck of a lot less cyclical than you once were. But I guess, could you sort of think about that how different the portfolio performed during a steeper recession. Do you sort of like lab test it what you got now and sort of think about where we have grown in a tougher time?
Mike McMullen: Yes, sure, Derik. I think, you point out, one very good point which is the portfolio of business is a lot different than it was few years ago and in fact I would sort of anticipate I might get this question. That’s why I saw a comment I made in my script if economic headwinds would occur. It’s a different company. By the way we are not at all predicating that, in fact going to be the case. And, I would say that it would probably follow a fairly similar pattern you saw a few years ago mainly reflecting – impacting the replacement cycle in certain industries, most likely the chemical market. But while the areas where the money being spent on research, I am would think it’s going to be fairly resilient. I don’t remember the exact numbers, but that would kind of like top of mind thinking on that.
Robert McMahon: Yes, maybe to build on that point, Mike. As I look at the business and the characterization obviously the product portfolio that we have today is very different than what we had before and I think it’s actually more focused on what customers need in terms of solving their problems. And so, whether that be open lab, where we are actually helping productivity and so forth for the cross labs group just in general. I actually, you could envision where you may have some impact on the instrumentation. But that potentially could be offset, because you would actually have more consumable usage going through as they are looking to keep their instruments longer and so forth or want them serviced. And so, I think we are in better position now than we’ve ever been and as we think about where our growth is coming from, it’s coming from the fastest part of our business – I should say, is growing, is in fast-growing markets like cell analysis that we talked about before which is going to be less impacted, I think and that’s just because of research and in the pace of innovation. Our ACG business and then obviously our diagnostics and genomics group as well. 
Derik De Bruin : Rob, I mean, just sort of I have been sort of- what I’ve been talking about the segment growth, I'm just noticing that. Back in 2015 and 2016 when oil was softer, you basically were growing LSAG in the 3% to 4% range. So I am just assuming that, you are already building some sort of – some conservatism in the numbers, just given historically how that’s what the condition of the business at that time and the business growing was growing at the time. Thanks. 
Mike McMullen: Don’t you think Bob?
Robert McMahon: Yes.
Derik De Bruin : Great. Thanks. 
Mike McMullen: Thanks Derik.
Operator: Thank you. Our next question comes from Steve Beuchaw with Morgan Stanley. Your line is now open.
Steve Beuchaw : Hi, thanks for taking the questions. Just a couple trying to have a leap around a point that have been raised. I think, first, maybe on margins. Bob, there have been some questions asked about some of the specific points on the margin progression from 2018 to 2019. But to take a step there are actually a lot of moving parts, when I think about Lasergen spending, the impact of M&A, spending on NASD, the accounting change you’ve flagged in FX, I mean, any chance you have a view on what core operating margin expansion is next year to give you – what a jumping off point might be for fiscal 2020, because I’d say, it’s never too soon to start thinking about 202, right? 
Robert McMahon: Yes, gee, we haven’t even finished a call for the initial FY 2019. But I will give it a shot. What I would say is, there are a number of moving pieces. Obviously, we’ve got a full year of Lasergen built into the plan. That being said, we are still guiding full year operating margins to grow despite that important investment. And then, we’ve got NASD as well and some of the headwinds around the FX. But when I look at operating margin incremental, so this is not necessarily core, but this would be just looking at the incremental. In FY 2019, they are very consistent with kind of how we exited FY 2018 and what I would say is, we are focused on continuing to drive operating margins, but also most importantly earnings growth.
Steve Beuchaw : Okay. And then, the second thing I wanted to see if I could get both of you, Mike and Bob to talk a little bit about was guidance policy, guidance practice. You alluded in the prepared remarks to – I hope that people would model at the middle of the guidance range. And I got a sense from the prepared remarks that you thought that there might have been a change or at least the need for there to be a perception of change the way you guys went about constructing the guidance for the year would be really helpful to hear you talk about how you went through that? And why you think the middle of the range is the right thing? And then, before I lose the podium here, I will echo the thanks for Alicia, thanks for being so helpful for us as we ramped up on the story over the last few years.
Robert McMahon: Thanks, Steve. And I know Alicia has been enjoying all the great feedbacks from you and others today. So, as you heard in my opening comments, it’s a bit of mixed feelings about her moving on to her new role in terms of seeing her retired and so next again used to work on Wall Street. 
Mike McMullen: I still have to answer the question. That’s right. So, think about, as you can see in our script, we were leaving the witness a little bit. I think you picked up on it. So I am going to make some initial comments and turn it over to Bob. So I think it's important to go back in time when we started the new Agilent and I would dare to say, we only lacked credibility in terms of a company that consistently delivered results relative to expectations. So, Didier and I really set forth a philosophy that really ensured that we are being reasonable in terms of our outlook, but also that you could count on us to deliver it. And we now have a track record of almost four years of doing that. And I would – but if we do think it’s time for evolution of approach, because and I think that’s what Bob has brought to Agilent and perhaps wanted to share your thinking there, Bob. 
Robert McMahon: Yes, thanks, Mike. And I would agree. I mean, I think one of the things that we want to do is obviously continue to be and feel comfortable about our forecast, but also recognize some of the potential upsides that we have, as well as acknowledging potential downsides and try to shrink the gap. And that’s what we’ve attempted to do here is to actually provide a little more color in terms of where we think the business is going in terms of our performance, particularly when we just come off of some very strong business and we are forecasting strong end-markets. And so, as Mike said, it’s not a revolution, it’s more of a evolution of the guidance to help – and we’ve got a track record that gives us more confidence in our ability. 
Operator: Thank you. Our next question comes from Catherine Schulte with Baird. Your line is now open.
Catherine Schulte : Hey guys. Thanks for the questions and congratulations and thank you to Alicia. You will certainly be missed. First for Mike and maybe Jacob can comment on this as well. As you think about your innovation pipeline for fiscal 2019, what gets you most excited? Should we be expecting to see the technology used in Ultivo prior to some of your other platforms as well? 
Mike McMullen: I think we are – just like any parent would be, we are excited by all the members of our family. So we’ve got a lot of great new things coming on. I made a few announcements already on things that are happening in the molecular side. But I think we got more coming, right without sharing the specifics. So, what would you say there, Jacob?
Jacob Thaysen: Yes, I think I will not go out and destroy Christmas by go out and tell all the presents we have for you over the next year here. So I am not going to speak directly to what is coming out. But what I can say is that, I am very proud and I am very excited about the 2019 on the NPIs that will come out there. I think, we’re already started strong with three NPIs that came out the first few weeks in the year here between the LDIR and the Cary 3500 and also the ICP-MS Water Analysis System and the ESI. So that was actually four. And there is much more to come. So I am pretty pleased, but I won't speak to the specifics yet as you'll be positively surprised when you see it.
Mike McMullen: I would add Kevin to your comment about the technology leverage across the platforms. In fact, that is the intent both for the Intuvo and the Ultivo. In fact, we haven't really had an Intuvo question today, but I would just mention that I think we've posted 14% unit growth in the Intuvo this past year as well.
Catherine Schulte : Very helpful. And then, Bob you mentioned remaining active on the M&A front. So, can you and Mike just comment on your appetite for potentially a larger acquisition? And then, what your key areas of focus would be?
Mike McMullen: Yeah, Catherine happy to do so. I don't think there's really a new story here, because what we've been saying for probably the better part of last year or so is that, we've developed our own internal capabilities and then, I think we have just augmented our capability here with the addition of Eric Gerber coming over to us from the from Danaher. We believe that we have ability to really deliver for our shareholders’ value on the M&A we do. And so I'm much more confident in our ability to tackle M&A and really make it part of the Agilent growth story. So we would be willing to take on larger acquisitions. As Bob mentioned in his early comments, there is plenty of room on the balance sheet. I think it really is more about having the right opportunities and we will continue to be - remain very disciplined in terms of what we look at. But I think it's really limited – our actions will be limited by availability of active targets as opposed to our willingness to engage.
Robert McMahon: Yeah and Catherine what I would add to what Mike is saying is, when we think about M&A, I think we're focused mostly on the three groups in the channels and the strength that we have to be able to leverage as opposed to creating a new level.
Mike McMullen: Yeah. That's correct.
Catherine Schulte : Great. Thank you.
Operator: Thank you. Our next question comes from Brandon Couillard with Jefferies. Your line is now open.
Brandon Couillard : Thanks. Good afternoon.
Mike McMullen: Hey, Brandon.
Brandon Couillard : Alicia, I'd echo that sort of you will be missed. Quick one for Samraat, if you can give us an update as to whether you've finished with the Dako rollout at Quest yet. Whether those instruments have been fully transitioned and started scaling? And then secondly, if there is a plan to port the PD-L1 assays over to the Omnis platform anytime soon?
Mike McMullen: I am going to pass. So why don't you Sam?
Sam Raha: Yes, thank you very much for the question. We are, as you know, very pleased to have earned the business of Quest and we are continuing to ramp. We have a significant percentage of that business where we've made conversions. But there is still work in progress which is actually good news, that means increased opportunity for us. And in terms of your second question, absolutely we are. It is in our roadmap to continue expanding the menu on Omnis and having PD-L1 available on this is absolutely something that is within our plans. It's something that will happen in 2019.
Brandon Couillard : Super. And then, two quick ones for Bob. The operating cash flow growth implies only about 3% growth in fiscal 2019, any one-timers to point out there? And then, secondly, I think there was an asset impairment in the fourth quarter. Could you elaborate on where that was? Thank you.
Robert McMahon : Yes. Thank you. Thanks Brandon. In terms of cash flow, yes, I mean I think it's a prudent forecast right now at the beginning of the year. There were no one-timers really in the - in FY2018 or the fourth quarter other than the tremendous performance that we had not only on the revenue coming in early and early part of the quarter and then also – which enabled us to generate tremendous cash flows with our accounts receivable teams and so forth. So I think it will evolve as we go forward. In terms of the asset impairment that's a small business within our DGG business and we are still expecting it to grow, but not at the level that we had forecasted.
Brandon Couillard : Again, thank you.
Robert McMahon : Thank you.
Operator: Thank you. Our next question comes from Doug Schenkel with Cowen. Your line is now open.
Doug Schenkel : All right. Good afternoon and first off, I know it's been said a bunch of times already but thanks again to Alicia, we'll miss you. I want to start with a follow up on an earlier chemical and energy question. Broadly, not just in China, what are you seeing among chemical and energy customers given the recent decline in oil prices. And a bit more of an uncertain macroeconomic backdrop and relatedly, what are you assuming for growth within fiscal 2019 guidance across the chemical and energy sub-segments, meaning breaking it down by chemical refining and E&P?
Mike McMullen: Hey Doug, thanks. Happy to provide a perspective on that. And, as we’ve mentioned earlier, the oil price gets a lot of attention, but it really is the view of global growth that often drives a lot of this market. But we are seeing a couple of things going on here. Well, first of all, we're not seeing any change in customer buying behavior. In fact, we continue to see a lot of demand for replacement products. So, the new generation of equipment tied to our Open Lab informatics portfolio really drives productivity. So the customers are seeing an economic benefit of the investments. So even in situations where perhaps the – there is s some uncertainty about oil prices and economic growth, they won't invest, because it helps the P&L by taking cost out of the structure. So, we've seen no changes in the buying behavior and really the growth in chemical energy has been really broad based. We talked a bit about China already, but we saw and again, I am talking about the CapEx side of things. It's been really broad based across all regions. And then again I would just say that the – our ACG business continues to do quite well here as well. And Bob, anything else you would add there, I think?
Robert McMahon : Yes, the only thing I would add, Doug is, in terms of your question around FY2019, I can't give that level of specificity into the sub-markets within the chemical and energy market. But what I would tell you is, if we look at chemical and energy, we are expecting that that business to grow slightly lower than what our core guidance.
Robert McMahon : Okay. That's great. And Bob may be, if I can just as a follow-up sneak in a couple guidance clarification questions. First on the buybacks which have come up a couple times. Your stock seems pretty depressed relative to your strong operational performance relative to peers on a valuation basis and your balance sheet is very pristine. Your guidance assumes a flat share count in spite of the fact that you have plenty of cash on the balance sheet to get more aggressive with buybacks and still have room to do more and bigger M&A. I guess, it's still unclear to me why you're not getting more aggressive with the pace and size of buybacks? Is this really a function of it just being pretty early in your tenure? And then, I guess the second guidance clarification question would be just regarding the tax rate, your cash tax rate is still a lot lower than 17%. I am just wondering if there's any opportunity or chance that ultimately the tax rate goes a lot lower than what your guidance incorporates. Thank you.
Robert McMahon : Yes, thanks. Thanks Doug. You hit the nail on the head. I mean, it's still relatively early in my tenure as I am trying to figure out all the other various pieces. But what I would tell you is, I think there is opportunity now. Our primary use of cash is actually to do M&A after investing in the business and growth. And I think we've seen that starting with the work that we did in FY2018 and then just starting here in FY 2019, with closing ACEA and so forth. But I do think we were opportunistic in Q4 and I think that there will be opportunities that we will – if there are opportunities, I should say we will capitalize on them in FY2019. And then, in regards to - what was the second one
Jacob Thaysen : The second point is cash rate. I love this one which is yes, Doug there sure is a difference between our cash tax rate and our non-GAAP tax rate and I think Bob and the team have brought down a point so far. But I think you're still looking at some things. 
Robert McMahon : Yes, stay tuned.
Jacob Thaysen : We're not ready to commit. So we are… 
Robert McMahon : I would tell you stay tuned on this.
Jacob Thaysen : We have not done our work yet.
Robert McMahon : Yes.
Robert McMahon : Great. Thank you.
Operator: Thank you. Our next question comes from Puneet Souda with Leerink Partners. Your line is now open.
Puneet Souda : Yes. Hi, Mike.
Mike McMullen: Hey, Puneet.
Puneet Souda : Thanks for taking the question. Obviously, Alicia, thanks for all of the help and really great working with you. So, if I could touch first on, just wanted to clarify how much of a contribution was USP regulation and LSAG if you could quantify that? It seemed like in past quarters, we had seen some significant contribution from ICP-MS. I just want to make sure we have that number for this quarter too?
Mike McMullen: Yes, I don't think we have that level of granularity in terms of specific numbers. What I can tell you is that it's been part of the story of a former growth and I think that's a trough. Actually a massive double-digit dollar growth.
Robert McMahon : Yes, it was well in excess of – it was greater than 20%.
Jacob Thaysen : Yes, we got a lot of tailwind from that regulation. So, yes, that was good.
Puneet Souda : And then what's your expectation there of how long of a tail that could be for USP, longer term? Could you give us a sense of how many quarters or may be years that this could last?
Mike McMullen: Yes. This would be just my guess. But I think it’s probably, we're not done yet. I think we expect that to continue into 2019.
Jacob Thaysen : Yes. I think we saw a lot of great performance based on that regulation in 2018 and we would also see it sail into 2019. But we have a lot of other things going on in ICP-MS and we really see that technology being applied in more spaces now with the water regulations coming up where we have really made a nice workflow. I think that we can see a lot of opportunities there. But generally speaking, ICP-MS is just being a tool that will be picked up from many other opportunities. So, I don't think that we are dependent on one part and one workflow. But we will see these great opportunities in 2019.
Puneet Souda : Got it. And then, Mike on Intuvo, you pointed out the 14% growth – unit growth here. Just wanted to get a sense of – do you want to address broader applications here? My question is, would Intuvo evolve into another set of product? Or should we expect, may be potentially a next-gen 7890 here along the lines of what you have produced in past to address then the full market, compared to the GCs that you have had in the past? Thank you.
Mike McMullen: Hey, Puneet. Thanks, thanks for the question. So, I was trying to preempt the audience about it. But we are really quite pleased with the pick up or really that the double-digit growth if you will of the Intuvo product, because as we said for – since the launch, we knew it would be a measured adoption by customers, because they really want to put the equipment through the paces and really be convinced that it actually does work as advertised and guess what it does. And now we are starting to see some really nice multiple unit orders coming in particularly as it relates to Mass Spec and at the risk of being Santa Claus or destroying Christmas or ever held, Jacob said earlier, what I can tell you is that our plan is to leverage a lot of the core technologies that were developed in the Intuvo product for potential new versions of gas chromatographs and we work really hard to keep the overall complete portfolio as competitive as possible and as you know the Intuvo covers only about 60% of the application space. So there is work to do on the rest of the portfolio as well.
Puneet Souda : Okay. Got it. Thanks so much.
Operator: Thank you. I show no further questions in queue. So I'd like to turn the conference back over to Ms. Rodriguez for closing remarks.
Alicia Rodriguez : Thank you, James. And on behalf of myself and the management team, I'd like to thank everybody for joining us today. If you have any questions, feel free to give us a call in IR. Thanks a lot. Bye-bye.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. Thank you very much for your participation. You may all disconnect. Have a wonderful day.